Operator: Thank you for joining us for Navios Maritime Partners Second Quarter 2024 Earnings Conference Call. With us today from the company are Chairwoman and CEO, Ms. Angeliki Frangou; Chief Operating Officer, Mr. Stratos Desypris; and Chief Financial Officer, Ms. Eri Tsironi; and Vice Chairman, Mr. Ted Petrone. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners' website at www.navios-mlp.com. You'll see the webcasting link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' management, and are subject to risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners’ filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will give an overview of Navios Partners' segment data. Next, Ms. Tsironi will give an overview on Navios Partners' financial results. Then Mr. Petrone will provide an industry overview. And lastly, we'll open the call to take questions. Now I turn the call over to Navios Partners' Chairwoman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Good morning to all of you and thank you for joining us on today's call. I am pleased with the results for the second quarter of 2024. We reported revenue $342.2 million and net income of $101.5 million for the quarter. Earnings per common unit was $3.30. In the second quarter, regional conflict, particularly in the Red Sea, continue to impact marine transportation. The net result has been longer per mile for the similar volume of goods as people are avoiding the Red Sea and taking the route around Africa. It seems that the global inflation we all experienced post-pandemic is subsiding. And while the U.S. and European economies are generally healthy. China's economy is challenged by a troubled real estate sector and fading domestic consumption. We are working carefully to determine whether China's economic woes weakened its otherwise voracious appetite for commodities. As you can imagine, with China's economic [stalling] (ph), we have a cautious view. But we are also cautious because of geopolitical considerations. The conflict in Ukraine continues with no resolution in sight. The Middle East is on the edge and things can go badly quickly, if some sort of new equilibrium is not established. Accordingly, we continue to execute on our strategic initiative by focusing on things that we can control, such as reducing leverage and modernizing our energy efficient fleet. Please turn to slide seven. Navios Partner is a leading publicly listed shipping company with 179 vessels diversified in 15 asset classes in three sectors. We have $318.4 million of cash on our balance sheet. I mentioned last quarter that we believe that we're in a gliding path to our target net leverage range of 20%, 25%. As you can see, our net LTV as of the end of the second quarter was 31.6%. Consequently, we turned some of our focus to returning capital to our unit holders. Under our dividend program, we pay a $0.20 dividend per unit annually. In addition, we have a 100 million unit repurchase program. Under this program, we purchased around 200,000 units through August 12 to approximately $10 million. In total so far in 2024 we had returned around $13 million of capital to our unit unitholders through dividends and unit repurchases. I would also mention that the repurchase of our unit was accretive. The estimated NAV of our unit based on our analyst average estimate is around $140 per unit. Our per unit repurchase price averaged at about $50. Thus, we captured an $18 million discount to NAV, which represents a net accretion of $0.59 per unit. We have around $90 million of availability under the unit repurchase program. The volume and timing of further repurchase will be subject to general market and business conditions, working capital requirements and other investment opportunities among other factors. Please turn to slide eight. We sold three vessels with an average age of 16.4 years in a record at keeping a modern fleet. The sales to two MR2 tankers and one post-panamax generated $64.6 million in gross profit and are expected to be completed in the second-half of 2024. In terms of acquisition, we invested around $500 million in the following seven vessels: four newbuilding scrubber fitted aframax/LR2 tanker; two newbuildings methanol-ready scrubber-fitted 7,900 TEU container ships; one Japanese built ultra-handymax previously chartered in. We also took delivery of four previously announced newbuilding vessels, three 5,300 TEU container ships fixed at an average rate of $37,050 net per day for 5.2 years and one aframax/LR2 tanker fixed at $26,366 net per day for five years. We continue to add to our contracted revenue, which today is around $3.7 billion. In the second quarter and third quarter, quarter-to-date 2024, we added $561 million contracted revenue, of which $307.3 million was from six newbuilding aframax/LR2 tankers fixed at an average rate of $28,067 net per day for five years; $125.6 million was from to newbuildings, 7,900 TEU container ships, fixed at a rate of $43,000 net per day for four years and $128.1 million from 64,250 TEU container ships fixed at an average rate of 28,116 net per day for 2.1 years. Our operating cash flow potential remains strong. For the second-half of 2024, contracted revenue exceeds total cash expense by $87 million plus we have 7,395 remaining open index days or 27% of available days for this period. Please turn to slide nine. We provide an overview of the evolution of our fleet through selected methods, which we are important. As you can see, our fleet is only slightly larger than it was in the year-end 2022 after a significant modernization program. Our fleet age remains about the same. We maximize energy efficiency by maintaining a fleet of useful vessels with the latest technology, while we patiently await the development of more carbon neutral technologies. In addition, as you can see from vessel values, the steel value of our fleet has improved by about 27% since the end of 2023. I would like to point out that much of this improvement has been from volatility in the containership segment, which dropped significantly post-pandemic and has recovered in 2024 as a primary benefit of the Atlantic conflict and longer ton miles. I would also note that these three values do not give any consideration to our contracted revenue, which today is about $3.7 billion. With a stable and performing fleet, our financial metrics are strong. Our adjusted EBITDA is up 2% over first-half of 2023 and 22% over first-half of 2022. Our cash balance is approaching the reserve we have identified. Our current net leverage is 31.6% and material improvement since the end of 2023 and are now past to reach our target net LTV of 20%, 25%. I'm also pleased to report that we have negotiated new management and administrative arrangements to our fleet with our existing managers. Stratos will take you through these details. I'll now turn the presentation over to Mr. Stratos Desypris, Navios Partners' Chief Operating Officer. Stratos?
Stratos Desypris: Thank you, Angeliki, and good morning, all. Please turn to slide 10. In August, Navios Partners’ renewed its management and administrative services agreements with Navios Ship Management Inc. The current agreements were lastly renewed in 2019 and are expiring at the end of 2024. Based on the new agreements, Navios Ship Management will continue to provide administrative services based on allocable cost with no extra fees. Additionally, Navios Ship Management will provide technical, commercial, and other services based on the following fee structure: $950 per day technical management fee for owned vessels; 1.25% commercial fee on gross revenues; S&P fee of 1% on purchase or sale price and fees for other specialized services for example supervision of newbuilding vessels. The new management and administrative services agreements will commence on January 1, 2025 for a term of 10-years renewing annually and is subject to a fee for termination or change of control. The agreements were negotiated and approved by the Conflicts Committee of the Board of Directors of Navios Partners. The Conflicts Committee used Watson Farley & Williams as their legal advisors and KPMG as their financial advisors, who issued the firm's opinion. Please turn to slide 11, which details our operating free cash flow potential for the second-half of 2024. We fixed 73% of available days at the net average rate of $26,245 per day. In short, contracted revenue exceeds total cash expense by $87 million. And we have 7,395 remaining open/index lease days that should provide substantial additional free cash flow. On the right side of the slide, we provide our 27,878 available days by vessel type, so that you can perform your own sensitivity analysis. Please turn to slide 12. We are always renewing the fleet, so that we maintain a young profile. It is part of our strategy to reduce our carbon footprint by modernizing our fleet, benefiting from new technologies and eco vessels with greener characteristics. In Q2 and Q3 to-date, we took delivery of four vessels. Three 5,300 TEU container ships, all chartered out for an average of 5.2 years at an average net daily rate of $37,050 per day. One LR2/aframax vessel, which has been chartered out for five years, at $26,366 net per day. Following the deliveries, we have 28 additional newbuilding vessels delivered into our fleet through 2028, representing $1.8 billion of total acquisition price. In container ships, we have eight vessels to be delivered, with a total acquisition price of about $0.7 billion. We have mitigated this risk with long-term credit worth charters, generating about $0.8 billion in revenue over a 6.7-year average charter duration. In the tanker space, we have 20 vessels to be delivered for a total price of approximately $1.1 billion. We charter out 16 of these vessels for an average period of five years, generating aggregate contracted revenue of about $0.8 billion. We have also been opportunistically replacing older vessels. In 2024, we have sold seven vessels with an average age of 17.1 years for $157.2 million. At the same time, we exercised the purchase options on five charter Japanese-built vessels with an average age of eight years for a total price of $142 million. Moving to slide 13, we continue to secure long-term employment for our fleet. In Q2 and Q3 to-date, we have created about $560 million additional contracted revenue. About $305 million comes from our tanker fleet and about $255 million from our container ships. Our total contracted revenue amounts to $3.7 billion, $1.4 billion relates to our tanker fleet, $0.4 million relates to our dry-bulk fleet, and $1.9 billion relates to our container ships. Charters are extending through 2037 with a diverse group of quality counterparts. About 50% of our contracted revenue is expected to be earned in the next two years. I now pass the call to Eri Tsironi our CFO, which will take you through the financial highlights. Eri?
Eri Tsironi: Thank you, Stratos, and good morning, all. I will briefly review our unaudited financial results for the second quarter and first-half of 2024. The financial information is included in the press release and is summarized in the slide presentation available on the company's website. Moving to the earnings highlights on slide 14, total revenue for the second quarter of 2024 slightly decreased to $342 million, compared to $347 million for the same period in 2023, due to lower combined time charter equivalent rate and available days. Our combined time charter equivalent rate for the second quarter of 2024 stood at 23,384 per day. In terms of sector performance, the TCE for our dry bulk fleet increased by 14% to 17,959 per day, compared to the same period in 2023. In contrast, our container and tanker TCE rates were approximately 15% and 10% lower respectively. TCE rates for our containers stood at 30,239 per day and for our tankers at 27,816 per day for the second quarter of 2024. EBITDA, net income and EPU were adjusted, as explained in the slide footnote. Excluding these amounts, adjusted EBITDA for Q2 2024 decreased by $1.7 million to $190 million, compared to Q2 2023. Adjusted net income for Q2 2024 decreased by $8 million to $94 million, compared to Q2 2023. The decrease was normally due to the decrease in net debt to EBITDA and the $10.6 million negative effects from depreciation and amortization, despite the $4.3 million positive effects from the reduction in interest rate expense and the increase in interest income. Total revenue for the first-half of 2024 increased by $4.2 million to $661 million, compared to the same period in 2023. The increase in revenue was mainly a result of higher combined PCE rate, despite lower available days. Our combined PCE rate for the first-half of 2024 was 22,448 per day. In terms of sector performance, PCE rates for our dry bulk fleet increased by 21% to 16,090 per day, compared to the same period in 2023. In contrast, our container and tanker PCE rates were approximately 15% and 6% lower respectively. PCE rates for our containers stood at 30,037 per day and for our tankers at 27,952 per day for the first-half of 2024. Adjusted EBITDA for the first-half of 2024 increased by $7 million to $354 million, compared to the same period last year. Adjusted net income for the first-half of 2024 decreased by $2 million to $166 million. Despite the increase in adjusted EBITDA, our net income was negatively affected by a $11.5 million increase in amortization of the third dry drydock special survey cost and other capitalized items, a $6.6 million decrease in the positive impact of the amortization of unfavorable lease terms, and a $3.6 million increase in the depreciation and amortization of intangible assets. The above decrease was partially mitigated by a $9.4 million decrease in interest expense and a $2.9 million increase in interest income. Adjusted earnings per common unit for the first-half of 2024 was $5.38. As mentioned earlier, we have agreed to renew our management agreement expiring at the end of the year. Based on the preliminary budget for 2025 operating expenses, we don't expect a material financial impact from the terms of the new management agreement, compared to the prior agreement. Turning to slide 15, I will briefly discuss some key balance data. As of June 30, 2024, cash and cash equivalents, including restricted cash and time deposits in excess of three months were $318 million. During the first-half of 2024, we paid $145.5 million net of related debt of paid delivery installments and capitalized expenses under our newbuilding program. We concluded the sale of four vessels for $91.4 million net, adding about $6.7 million cash after the repayment of the respective debt. Total long-term borrowings including the current portion net of deferred fees increased $1.97 billion, mainly as a result of the delivery of five newbuilding vessels for which the respective delivery installments were paid with debt. Net debt to book capitalization decreased to 33.6%. Slide 16 highlights our debt profile. We continue to diversify our funding resources between bank debt and leasing structures, while 34% of our debt has fixed interest at an average rate of 5.6%. We also try to mitigate part of the increased interest rate cost, having reduced the average margin for our floating rate debt to 2.2%, while the average margin for the floating rate debt of our new building program is 1.8%. Our maturity profile is staggered with no significant balloons due in any single year. In June 2024, we entered into a new reducing revolving facility with a commercial bank for up to $95 million in order to refinance the existing indebtedness of two vessels and to finance part of the acquisition cost of four dry bulk vessels. The credit facility has five years term and bears interest at compounded SOFR plus 175 basis points per annum. Turning to slide 17, you can see our ESG initiatives. We continue to invest in new energy-efficient vessels and reduce emissions through energy saving devices and efficient vessel operations. In February 2024, Navios in collaboration with Lloyd’s Register founded the global Maritime Emissions Reduction center that will focus on optimizing the existing global heat efficiency. Navios is a socially conscious group whose core values include diversity, inclusion, and safety. We have strong corporate governance and clear code of ethics, while our board is composed by majority independent directors. And now I pass the call to Ted Petrone to take you through the industry section. Ted?
Ted Petrone: Thank you, Eri. Please turn to slide 19, for a review of current trade disruptions. The Red Sea entrance leading to the Suez Canal, a strategic maritime transport point, continues to operate at restricted transit levels. Red Sea disruptions have caused a rerouting of ships via the Cape of Good Hope, increasing costs and ton miles. Since first-half of December, transits have reduced 61% for containers, 60% for dry bulk vessels, and 53% for tankers. Panama Canal daily transit restrictions continue to ease on the back of returning seasonal rains with transit anticipated to be new normal by month end. Please turn to slide 21 for a review of the tanker industry. World GDP expected to grow by 3.2% in 2024 based on the IMF's July forecast. The IEA projects 0.9 million barrels per day increase in world oil demand for 2024 and a 1 million barrel per day increase in 2025. Chinese crude imports continue at healthy levels averaging about 11.1 million barrels per day in Q2, although imports are down about 5% from the same period last year. After a seasonally strong Q1, rates moderated slightly in Q2, but remained above long-term averages with product tankers showing the most resilience. The OPEC crude exports cuts have been somewhat mitigated by an increased Atlantic Far East exports, causing high volatility to VLCC rates in Q2. Turning to slide 22, as previously mentioned, both crude and product rates remain strong across the board, due to healthy supply and demand fundamentals and shifting trading patterns. Crude ton miles are expected to grow by 3.3% in 2024 and a further 2.2% in 2025. Product tanker ton miles are expected to grow by 7.5% in 2024, but are expected to decline by 2.4% in ‘25. These percentages increases incorporated continued canal restrictions in 2024. Turning to slide 23, VLCC net fleet growth is projected to be negative for both ‘24 and ‘25, at 0.1% negative and 1.7% negative respectively. This decline can be partially attributed to owners' hesitance to order expensive long-lived assets in light of macroeconomic uncertainty and engine technology concerns, due to CO2 restrictions in force since the beginning of the year. The current low order book is only 7.3% of the fleet or 66 vessels, one of the lowest in 30-years. Vessels over 20-years of age are about 17% of the fleet or 156 vessels, which is over 2 times the order book. Turning to slide 24, projected product tanker net fleet growth is 1.8% for 2024 and 4.9% for 2025. The current product tanker order book is 19.9% of the fleet and compares favorably with the 14.4% of the fleet, which is 20-years of age or older. In concluding the tanker sector review, tanker rates across the board continue historically healthy levels during the season we flow summer season. Combination of moderate growth and global oil demand, new longer trading routes for both crude and products as well as one of the lowest order books in three decades, and the IMO 2023 regulations should provide for healthy tanker earnings going forward. Please turn to slide 26 for the review of the dry bulb industry. Q2 followed a similar pattern to Q1 as strong Atlantic exports of iron, ore, coal and grain continued, resulting in the BDI averaging 1,848, slightly higher than the counter cyclically strong Q1. Dry bulk trade is expected to grow by 2.6% this year, enhanced by a 4.4% in ton-miles growth, with the most of this growth anticipated to come from additional Atlantic exports of the above-mentioned cargoes plus bauxite, the vast majority destined to China and Southeast Asia. Going forward, supply and demand fundamentals remain intact. Longer duration trades, the low order book, and tightening GHG admissions regulations remain positive factors, which are reflected in the futures markets. Please turn to slide 27. The current order book stands at 9.9% of the fleet, one of the lowest since the late ‘90s. Net fleet growth for 2024 is expected to be 3.1% and only 2.6% in 2025 as owners remove tonnage that will be uneconomical due to the IML 2023 CO2 rules. Vessels over 20-years of age are about 9.8% of the fleet, which is approximately equal to the low order book. In concluding our dry bulk sector review, continuing demand for natural resources, restrictions in transiting the Red Sea, war and sanction related longer haul trades, combined with slowing pace of newbuilding deliveries also for freight rates going forward. Please turn to slide 29 for a review of the container industry. Continued strong trade flow coupled with continued rerouting of vessels away from the Red Sea and around Cape of Good Hope, causing ton-miles to increase by about 17% this year, pushing the SCFI to 3,714 the last week of June. The SCFI reached 3,733 one week later, the highest level outside the pandemic era before correcting moderately recently. Pressure for time charter rates should remain for the duration of the Red Sea disruption. However, continued record fleet growth should eventually modify these gains in reverse course when the Middle East conflict settles. A little trade is expected to grow by 5.1% in 2024 and 2.9% in 2025. Newbuilding deliveries in ‘24 and ‘25 will be equivalent to approximately 16% of the fleet after record net fleet growth of 10.2% this year followed by 4.9% in 2025. This should continue to pressure rates for some time. Turning to slide 30, net fleet growth is expected to be 10.2% for 2024 and a further 4.9% for 2025. The current order book stands at 22.7% against 11.5% of the fleet 20-years of age or older. About 78% of the order book is for the 10,000 TEU vessels or larger. In concluding the container sector review, longer term supply and demand fundamentals remain challenged due to economic and geopolitical uncertainties and an elevated order book. However, trade growth improvements, increased ton miles, and world GDP growth of 3.2% this year, provide for a counterpoint to a challenging second-half of 2024. This concludes our presentation. I would like to turn the call over to Angeliki for a final comments. Angeliki?
Angeliki Frangou: Thank you, Ted. This completes our formal presentation. We open the call for questions.
Operator: Our first question will come from Omar Nokta with Jefferies. Please go ahead.
Omar Nokta: Thank you. Hi, guys. Good afternoon. Obviously, nice quarter, good amount of free cash flow generation and you continue to focus on fine tuning the fleet, selling ships and bringing in some new ones with contract cover. Obviously, a big highlight is the buyback. You spent nearly $10 million, which is nice. Just kind of thinking about that, is there anything that triggered you putting that capital to work? Obviously, you highlight the disconnect between the share price and NAV, but is there anything that maybe instigated the buyback here recently? Is it comfort with the outlook? Is it the buildup of the backlog? What would you say kind of drove the decision to go after the buyback?
Angeliki Frangou: Good morning, Omar. I think basically we focus on our target. We are driving NAV by reinvesting in our business. You have seen that is clear from day one. We bought over $0.5 billion of our vessels and we contracted them out about $560 million, over $560 million of contracted revenue. But at the same time, we managed to achieve our goals or we are achieving our goals. Meaning we brought down our leverage to towards 31%. Our target is 20%, 25%. But our cash position is very close to what we have stated. So basically, we're driving NAV, which was like that by investing, but we are also reaching our target. We were able to implement on a strategy we have articulated. And we start a repurchase program, having a good firepower on that, and having an additional benefit for our investors by -- being additionally incremental accretion by repurchasing capturing about $0.59, when we acquire our shares. So this is a net-net good result.
Omar Nokta: Yes, certainly. Well, thanks Angeliki for that. And just a couple more follow-ups from me just kind of on the orders. The LR2s that you just ordered, you're continuing to pay somewhere around that $66 million. And that compares to every market valuation that suggests newbuilding’s are closer to high ‘70s or close to $80 million. Are these options that you've been able to exercise? Is that what's driving the cheaper price relative to what perception is about a newbuilding cost?
Angeliki Frangou: You are exactly right. I mean, one of the things we do, we are disciplined on purchasing. We like to focus on a quality shipyard, build on the quality vessel and create options for us. And I think you have seen that we have been implementing on this strategy for quite some time, giving us an advantage. Also, we are able to -- we must, when your derivative is actually getting, you have an obligation. So marking the -- to become an asset, we need to fix it and have that balance. And I think we are trying to be very focused on that.
Omar Nokta: Yes, yes, and obviously the charters now, you know, looks like a little over half, maybe over half a 50% payback over the term of the five-year charters? What's interesting, I guess, is the two 7,900 TEU newbuilding’s that you just ordered, those are delivering in ‘26 and seem to have almost a 50% payback over just the first, or basically the four-year charter. So, a pretty attractive payback. I guess when we think about that, you know, you've been very busy being able to acquire tonnage, put it on contract, but these container newbuilds kind of stand out as having a sooner payback over just that four-year term? What do you think is -- any color you can give on what's driving that? I guess one, do those numbers make sense? I referenced that quick of a payback. But two, you know, is this a repeatable type of transaction in containers, or was this one of those one-offs where we had an opportunity to take advantage of some ‘26 slots at a good rate?
Angeliki Frangou: We build on our relationship with the yard. So this is not a repeatable, not only on the particular deal, but we are repeatable deals, if you see, over different shipyards and over different asset classes. We care about where we order. We care about creating the relationships and the designs of the vessel. If you remember, we order on the same kind of type of vessel. We have done the LNG fuel vessel. And we repeat on the knowledge we have on the shipyard, on the type of vessel with an opportunity to match with the right charting opportunity. So this is a continuous effort we have. And a lot of deals, you may never see them. I mean, this is not a one-off. By the way, also the aframax’s, the LR2s, our payback is quite significant. So we are very careful on both sides, because at the end of the story you need to go at historical averages. We’d like to make sure that with the charter we have we bring the value, the residual value down.
Omar Nokta: Thank you. Thanks, Angelika. That's helpful. I Appreciate the color. I'll turn it over.
Operator: Thank you. At this time, we have no further questions. I will turn the call back to Angeliki for any closing remarks.
Angeliki Frangou: Thank you. This completes our quarterly results. Thank you.